Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Camtek fourth quarter 2012 results conference call. All participants are present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. (Operator instructions) As a reminder, this conference is being recorded February 21st, 2013. I would now like to hand the call over to Mr. Kenny Green of CCG Investor Relations. Mr. Green, would you like to begin?
Kenny Green: Thank you, and good day to all of you. I’d like to welcome all of you to Camtek’s fourth quarter and full year 2012 results conference call, and I’d like to thank Camtek’s management for hosting this call. With us on the line today are Mr. Roy Porat, Camtek’s CEO, and Mr. Moshe Eisenberg, Camtek’s CEO. Roy will start the call by discussing recent developments within the company and in the market and will also discuss the outlook. Moshe will give the overview of CapEx financial performance in the fourth quarter and summarize the financial results. Before we begin, may I remind our listeners that certain information provided on this call are internal Company estimates unless otherwise specified. In addition, this call may contain forward-looking statements. These forward-looking statements are only predictions and may change as time passes. Statements on this call are made as of today, and the Company undertakes no obligation to update any of the forward-looking statements contained whether as a result of new information, future events, changes in expectations, or otherwise. Investors are reminded that actual events or results may differ materially from those projected, including as a result of changing industry market trends; reduced demand for services and products; the timely developments of new services and products and their adoption by the market; increased competition in the industry and price reductions; as well as due to other risks identified in the Company’s filings with the SEC. Please note that the Safe Harbor statement contained in today’s press release also covers the contents of this conference call. In addition, during this call certain non-GAAP financial measures will be discussed. These are used by management to make strategic decisions, forecast future results, and evaluate the Company’s current performance. Management believes that the presentation of non-GAAP financial measures is useful to investors’ understanding and assessment of the Company’s ongoing core operations and prospects for the future. A full reconciliation of non-GAAP to GAAP financial measures is included in today’s earnings release. And after that, we will then open the call and be happy to answer your questions. So now, I would like to hand the call over to Roy. Roy, go ahead, please.
Roy Porat: Thank you, Ken. Hello and good morning to everyone. Thank you for joining us. Before I start the call, our fourth quarter review, please allow me to extend our condolences to Ran Kipper’s wife and kids. Ran passed away a few days ago after a sudden heart attack. And Ran was our Semiconductor Inspector Division VP for the past two years, has been doing a tremendous job for us and we’ll all miss him very much. Now turning to the quarter results. Let me begin by saying that in line with the current market conditions and [inaudible] business performance this quarter and 2012, in general. We finished the year with $84.5 million in revenues and a non-GAAP operating income of $5.3 million, and we generated $4.2 million in operating cash. While the fourth quarter revenues came in at the high end of our guidance and did drop compared to previous quarter, our cost control over cost during the quarter allowed us to reduce our grace even point, enabling us to sustain many on losses on a non-GAAP base. I will share and elaborate later on the intangible and non-GAAP write-off where we did in selling DMD. However, I do want to stress that we continue to believe in growth potential of both Sela and DMD. Before the acquisitions, both DMD and Sela were companies with the strong need of financial support and the low prospect base for them was certainly an indication of the risk involved. Although that early stage nature of both these businesses still carries some risks, we see them as potential to CapEx future growth. Overall, 2012 was a cyclical year for us and started off slowly, showed improvement with the stronger second and third quarters, and ended with a slow fourth quarter that combined with the first quarter of 2013, we currently believe will be the bottom of the cycle. We do need to bear in mind the global economic uncertainty carries certainly limits on long-term visibility. Although our strategy for the new products is taking us longer than we initially planned, our core businesses are strong and allow us a good operational foundation. We recently launched a new inspection tool, the Phoenix that has been extremely well-accepted in PCB markets and we are firming our position in fast-growing market of advanced packaging. Now, I’d like to provide a closer look at the market. The semiconductor business in the fourth quarter was mainly driven by our backend inspection tools. As I mentioned earlier, the softness we witnessed in the fourth quarter is going into the first quarter. During 2012, we continued to strengthen our position in advanced packaging segment of the backend semiconductor inspection in the changing market. We maintain a very competitive product offering for advanced packaging and we certainly dominate some of the applications in that segment. We have last reported efforts made in the past year have yielded into first orders during the fourth quarter with one of our major OSETs [ph]. Although the first orders are for only a couple of tools, we believe they can allow us to a significant growth in the next few years. Furthermore, we continue our efforts to penetrate other accounts that have yet to buy from us. One hot topic in the industry we serve is 3DIC. To remind all of you, it is the name for a new packaging technology that is developed by most IDM, foundries and OSET. This will enable stock devices one on top of each other versus one next to each other. This new technology will not only reduce space, but will also increase device performance, speed, and reduce power battery consumption. Obviously, its cost benefit to the end customer is yet to be proven and would certainly dictate to penetration rate. Camtek is well-positioned to offer our customer numerous solutions for inspection metrology to cope with the challenges that distant technology brings. The opportunity is still in front of us and we do estimate it will be a few years before the industry will see multiple capacity orders of 3DIC packaging. Our mission is to be involved in IDM, foundries, OSET and some fabless accounts, and to be aligned and lead the need for the future will bring and in a good position for capacity bind as they unfold. An additional segment that we have talked about a lot during the past year for LED, the market’s expectations for the LED segment anticipated a CAGR of 30% a year. It seems these expectations are taking longer. We continue to maintain a very good position in the market segment, and although we did sell a few tools in 2012 to the leading players, the anticipated very large growth did not realize. We are great believers in the segment. This potential also seems to be in front of us and it’s only a question of when. In stronger parts of the semiconductor business, that includes the Macro Inspection Tool, Gannet, and the Xact sample prep tool, the fourth quarter was slow. Position from the proven technology of the Xact to a mature tool has taken us more time than we initially anticipated. In 2012, we did not recognize revenues of Xact sales and this is after a successful 2011, where we generated approximately $10 million from Sela products. As we updated in the past, product maturity issues that came in lag in 2012 did not allow us to continue the good strides we had in 2011. We are continuing our R&D efforts to mature the product, which will enable us to leverage its technology benefits for a longer time. Despite challenges, we do expect some follow-on orders from existing customers in the first half of 2013. Looking at the PCB Inspection business, we continue to see low demand in the current market for tools. However, we are seeing an increase in its vision for install base and some customers are now discussing expansion time. We are only a few weeks after the Chinese New Year and anticipate increasing visibility in the next few weeks. Although 2012, the PCB Inspection market declined. Despite this, we continue to invest R&D and launch faster systems with increased deduction capabilities and improvements in cost capabilities. We’ve reduced the ratio of AY to verification stations. In several years, we did experience some pricing pressure in the market, which we escalated in 2012. Despite this, our Phoenix platform has been in very good traction and the response of our customers is very positive. As the cost structure of this product can be low cost Chinese, we do expect to continue to enjoy a profit, contributing in cash generation from this business in the years ahead. To summarize, 2012 was a challenging year for us. On the positive side, I would highlight that our improving margin in the middle of the year due to successful cost reduction process. On the other hand, in the short term, we expect the next one or two quarters to be as challenging as this last quarter. For Q1, we expect revenues to be between $16 million and $18 million. I would like now to turn the call to Moshe for review of the financials. Moshe?
Moshe Eisenberg: Thank you, Roy, and hello everyone. You can find the full year results in the press release issued earlier today. Revenues for the fourth quarter of 2012 were $17.6 million. This is compared to $23.7 million in the prior quarter and $21.1 million in the fourth quarter of 2011. As Roy mentioned, the decline was due to a general weakness in the markets we serve. For the fourth quarter, revenue from sales in services to the semiconductor’s industry was 61% of our total revenues, amounting to $10.7 million. With regards to our PCB business, we generated $6.9 million in revenues during the quarter, contributing 39% of our total revenues. Our geographical split of revenues for the quarter were, China was the stronger region during the quarter, representing approximately 34% of overall revenues, Taiwan was 19%, Korea was 17%, and the rest of Asia was 7%. US sales accounted for 9% with the rest of the world was the remaining 14%. On a full-year basis, our 2012 revenues were $84.5 million compared to $107 million in 2011. Before I summarize the financial results, I would like to provide more details on the revaluation of Sela and DMD. As Roy mentioned previously, the continued pressure and ongoing uncertainties surrounding our markets as well as other elements have led us to extend our anticipated timeframe and moderate the forecasted pace of growing [ph] the Sela business. In addition, it is taking as longer than originally anticipated development period to bring DMD to the market. This led us to revaluate the investment level on our books and resulted in a non-cash impairment of the related goodwill and intangible assets in accordance with ASC 350 and to adjust the contingent liability accordingly. In addition, we wrote down a portion of the Sela inventory related to all the products. For our Sela product line, the write-down included $1.5 million in acquired intangible assets and $1.4 million in inventory. These expenses were charged in the amount of $1.4 million to cost of goods sold and $1.5 million to operating expenses. For our DMD product line, we wrote down $1.6 million in acquired intangible assets. These expenses were charged to operating expenses. These expenses were positively offset by the adjustment to the contingent liabilities relating to Sela and DMD. We continue to invest in development in both of our DMD product and Sela as we believe in the long-term viability and potential, and we expect them to contribute to our future growth. Unless otherwise mentioned, I will now summarize the rest of our results on a non-GAAP basis, which excludes write-down and revaluation in respect of our Sela and DMD product line in short-base compensation. The reconciliation between GAAP and non-GAAP results also appear in the tables at the end of the press release issued earlier today. Gross profit for the quarter totaled $7.6 million, representing a gross margin of 42.9%. This is compared to $11.5 million or gross margin of 48.5 in the previous quarter and $8.9 million or 42.1 in the fourth quarter of 2011. The reduction in gross margin compared with prior quarter is primarily due to the lower revenue level and we have a portion of our cost of goods sold, which is focused. For the year, gross profit was $39 million or gross margin of 46.1 compared with a gross profit of $48.6 million of gross margin of 44.5% last year. Operating expenses in the quarter was $8.1 million compared to operating expenses of $8.2 million in the previous quarter, an $8.1 million in the fourth quarter of last year. For the year, operating expenses were $33.7 million versus $38.1 million last year. In the last several months, and especially in the fourth quarter, we are taking steps to reduce our operating expenses and to lower our breakeven points. I’m happy to report that the new quarter breakeven points in operating level is down from revenue of $21 million to $22 million a quarter to below $20 million a quarter depending on product mix and tightening of operating expenses. We will continue to focus on cost efficiency in 2013. Operating loss for the fourth quarter of 2012 was 0.6 million compared to an operating income of 3.3 million in the previous quarter and an operating income of 0.1 million in the fourth quarter of 2011. Full year operating income was $5.3 million or 6.3 of revenues compared with 10.5 or 9.8% of revenues in 2011. Out net loss for the fourth quarter of 2012 was 0.8 million or $0.03per share compared to a net income of $3 million or $0.10 per share in the previous quarter and a net loss of 498,000 or $0.02 per share in the fourth quarter of 2011. For the year, we reported a net income of 4.7 million or 5.5 of revenues compared with net loss of $8.9 million or 8.3% of revenues in 2011. Cash and cash equivalents and short-term deposit as of December 31st, 2012 were $26 million compared with $26.3 million as of December 31, 2011. We generated operating cash flow of $2.9 million during the fourth quarter and a positive operating cash flow of $4.2 million for the full year. This was a result of improved processes as well as placing increased focus and collections in the fourth quarter. Our DSO [ph] increased to 120 days compared to 104 days that we reported in the previous quarter. We will now open the call for questions. Operator?
Operator: Thank you, sir. (Operator instructions) The first question is from Jay Srivatsa of Chardan Capital Markets. Please go ahead.
Jay Srivatsa – Chardan Capital Markets: Yes, thanks for taking my question. Roy, in your commentary you talked about how you are seeing signs that suggest that 201 [ph] could be the bottom of the semi cycle. Could you elaborate a little bit on what you’re seeing and what gives you the confidence that could be the bottom and how you see that playing out over the next three quarters?
Roy Porat: Thanks for the question, Jay. I think confidence is not the word I would say. I think it’s an estimation, I think, to be more precise. I think we’re seeing a little bit from basically most of the customers that are both from the PCB side and the backend side. But I think it’s yet to be proven. It’s yet to be proven some expansion plans, work things out from Q4 to Q1, and now we’re talking about Q2. I would say it’s an estimation. I wouldn’t say we have confidence to say that the Q2 will not be the same. That’s why in the summer, there could be one or two quarters, of challenging quarters. And general anticipation in the market, and it’s not something I’m seeing, I think this is something out of analyst and the people who have a wide view of the market are estimating that second half will be better. But in terms of the durability, we don’t have that [inaudible] to the fourth and during the fourth quarter yet. So I would say it’s more an assessment. I wouldn’t say we are constantly seeing about it.
Jay Srivatsa – Chardan Capital Markets: All right. I may have missed it. I’m not sure I’ve picked up what your guidance with Q1 was. Could you repeat that? And also highlight within the semiconductor and PCB market, where do you expect the weakness in Q1 to be?
Roy Porat: Guidance for Q1 is pretty much flat. It’s between 16 and 18. And we pretty much expect to be very similar on both PCB and the semi side. There could be, and often as we expect, some orders from the seller products, which is a high member for us. I mean every tool could be $1 million, $1.5 million, maybe more than that, for a single tool. So if some of the expectations turn out to be in the first quarter, that could be a nice push. So overall, I think the mix should be pretty much the same as last quarter.
Jay Srivatsa – Chardan Capital Markets: All right. It looks like you’re taking some ride downs on seller and also it looks like the DMD timeline is getting pushed out. I guess on DMD, I mean what are you looking for in terms of making a determination on when to move on and abandon their product versus pursuing opportunity to invest in that space?
Roy Porat: Okay. First of all, I’m not sure if you guys know it or not, but in general I think – usually, in general it has very good or interesting pulled current of people with expertise in inkjet. And what has done about six months to go is tapping to this poll of current and basically kind of replace the two guys that were leading this project up to know. And we have a new guy leading this activity, Dr. Bob Benetton [ph], he’s PhD in chemistry. And he kind of aligns asking to new direction. I think the next milestone for us in terms of where are we with this would be somewhere in the summer. I think around summer, we should have a good indication of the key core process issues that were in front of us. If we pass that by summer, by the end of the year, we should be with the tool ready for testing, okay, for us to start the [inaudible]. So I don’t expect any revenue in 2013 from this activity. But if you want, there is shorter decision process. I think the next major milestone will be this summer.
Jay Srivatsa – Chardan Capital Markets: Okay. Thank you.
Operator: Thank you. (Operator instructions) There are no further questions at this time. Before I ask Mr. Porat to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on Camtek’s website, www.camtek.co.i, beginning tomorrow. Mr. Porat, would you like to make your concluding statement?
Roy Porat: Thank you very much everybody for joining us. Thank you very much.
Operator: Thank you. This concludes the Camtek fourth quarter 2012 results conference call. Thank you for your participation. You may go ahead and disconnect.